Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Ignacio Bustamante: 0:03 Good morning. Thank you very much for joining us today on our 2021 full year results. I would also like to make a special welcome to Tracey Kerr, who is our newest Board member. So welcome, Tracey. Thank you for joining us today. Tracey comes with a significant experience in mining and particularly we believe she's going to be a great help on matters related to sustainability. So we're looking forward to continue working together. Thank you, Tracey. And I would also like to introduce Eduardo Noriega, who's our new CFO, and he's also going to be joining us during the presentation. Thank you, Eduardo. 0:40 So moving to the next slide . So, we're very enthusiastic to present a very strong set of financial results and also an important delivery on our most important strategic initiatives. So 2021 was a very strong year for the company, as you can see here, coming out of a very complex 2020 when COVID hit us materially. 1:09 2021 was a very good year for the company and compared to 2020, we managed to increase our revenues by 30% to $811 million. Our EBITDA was up 41% to $383 million. EPS up 133% to $0.14 per share. Our cash balance is at $387 million and we have a net cash position of $86 million. We have just declared a final dividend of $0.023 per share, which is an equivalent of $12 million for the second half of the year and a total of $22 million for the full year. In terms of operations, we have also managed to achieve all our guidance in terms of production and in terms of all-in sustaining cash cost. We managed to produce 31.2 million ounces and we also managed to have all-in sustaining cash costs of $14.4, all of them within the guidance that we gave to the market. 02:08 And finally, on the exploration and business development front, also a very important year. We were able to add 75 million ounces of silver resources, most of them coming from Inmaculada and some of them coming from San Jose as well. Our total reserves are up 12% and the average grade has gone up 19%, also very strong result on the conversion of silver resources to reserves. We, as you know, announced the agreement to acquire Amarillo Gold and we expect to close the transaction before the end of this first quarter of the year. 2:43 We also exercised our option on the Snip project in British Columbia and that is going to allow us to reach up to 60% of the project and take control of the project and we're also very excited about Snip and we'll talk about it later on. We completed demerger and the listing of Aclara in the Toronto Stock Exchange. We, as you may recall, remain 20% shareholder for that and continue being very excited about the prospectivity of that business in Chile. And finally, we appointed a new CEO for Volcan, Greg McCunn, and we believe this is a good time to start looking and thinking about Volcan again and building a business case and discuss the many different strategic options that we have for that project. 3:29 Moving to next slide. ESG sustainability is at the heart of the company and is one of our most important strategic initiatives and it's based on 4 pillars: so we have safety, we have people, we have environment and we have communities for social. In the case of safety, we managed to achieve a long-term industry frequency ratio of 1.26, which is one of the lowest that we have had in the history of the company. We have also continued to successfully implement our safety culture transformation plan, which we call Safety 2.0, with positive results as well. 4:12 Most of the indicators for safety are indicators of past events and we believe that something is missing because we also need to take into account leading indicators, things that are going to be causes for positive change going forward such as training, such as inspection, such as audit, which was not captured by the measures that we use for safety. So we have created – same as we did with environment, we have created our own safety metrics that we call  score, which tracks also the severity, the frequency and the usual metrics. But in addition to that, it's capturing all these proactive measures that we're taking and we're very happy with that. We are testing the score this year with the idea of putting that into our own personal objectives getting into 2023. 5:00 We also believe that one of the most critical conditions or causes for actions in our operations is related to the lack of perception of risk from our workers. So we're working very hard on a program that will allow our people in general to be much more perceptive of the risks that they are facing in their work and also teach them to say no when they believe that the conditions are not present. So that's also moving along very well and we believe that's going to be also a key tool in order to reach our goal of 0 accidents. We continue of course with our weekly safety and leadership training on all our sites. 5:43 On the people and culture front, as you know, COVID was also one of our priorities for the year and we continue with all controls in place. We had a very good 2021 and we expect that 2022 with the controls that we have in place is going to continue being the same. In addition to that, we have several diversity programs. We have one that I personally like a lot, which is a project called Siembra, which basically gets into high schools and teaches women the importance of mining and how they can play a very active role in mining. Because one of the main problems that we face when we want to increase the diversity -- the general diversity in the company is that not too many women in Peru at least are starting careers that are linked to mining. So our goal was to materially improve that – materially improve the amount of women starting careers that are related to mining. So that's a work that we need to do from high school. 6:37 So we have partnered with an institution called  that have a very deep connection with the high school community and we're working on a program to promote mining in high school. So hopefully, that's something that is going to have a very positive long-term impact not only for our company, but for the country in general. Also Women in Mining in Peru are working very closely with them. We are doing a free of harassment campaign across the company as well that is having very positive results. We are working also on leadership programs with our team. 31% of our workforce is people from our communities. That's a number that continues going up and we're very proud of that and hopefully we're going to continue increasing that. And 53% of our workforce belong to unions, which is also a good number and we have a very good representation as well. 7:27 On the environmental front we have an ECO Score, our own environmental score, of 5.29 out of 6, which is a very good number as well. Our potable water consumption went down by 17% compared to last year. Our waste generation went down by 15% compared to last year. We have participation on the carbon disclosure project and we're also reporting in line with TCFD. We are developing our carbon net 0 strategy. Also we're very specific about that. Hopefully we can update the market in the upcoming months once the strategy is finished. And as with safety, we created the safety culture transformation plan that gave us very positive results, we are doing the same with environment. We have created this group that is focused on changing the mentality that is protecting the environment that is also giving us very positive results. 08:21 And we are very excited with that and we're going to continue pushing that because that's something that for us is indispensable to continue promoting within the company. And finally, communities. This year we spent $5.4 million to benefit lower conventions, $5.4 million in economic or social related programs to all our communities. In addition to that, we have invested about $17 million in services and contracts with all our local communities as well. So this has been a very important part of our economic activity. We are attending the most important community needs such as connectivity, education, scholarship, health programs, as well other programs to make them more proactive in their economic activities. And the most important project that we have in place right now is a project to ensure that all our communities have all the potable water that they need both for their personal uses as well for their industrial and mostly agricultural uses as well. 9:23 So that's our flagship program this year and we believe that's going to be very well received by our communities. And we also believe it's very important to train them on general human rights. In some cases, they don't even have an idea what their rights are. So we are in the process of teaching them what their rights are so that they know what they can expect and what they should expect and what they should demand in life in general. So those are the key highlights and again it's going to continue being an important part in our strategy. 9:56 So right now we move into the full year financial results so I'm going to ask Eduardo Noriega to please walk us through the key results.
Eduardo Noriega: 10:13 Thank you, Ignacio, and good morning. 2021 results were very strong with revenue up at $811 million for the year. We had higher production given 2020 COVID shutdowns. Also silver price was 12% higher than 2020. Cost of sales higher given higher production and we had gross profit increase from 36% in 2020 to 40% in 2021. Administrative expenses at close to $52 million, which were higher than previous year given M&A activity and fees related to the transactions we executed. Selling expenses at $15.4 million were up also aligned with incremental volume versus 2020. 11:23 Exploration activity recovered from 2020 at $39.8 million. Others net $37 million. Here we include an increase in our mine closure provisions of $22 million mainly in Selene given the new work performed to close our TSS, our tailings dams. We also had a personnel restructuring program in Argentina that cost us around $8 million. Finance net at $28 million was also up versus previous year mainly given -- mainly due to 2 factors. The first one is the acquisition of the cost to acquire U.S. dollars in Argentina, which cost us $15 million. And also we restructured our medium-term facility and increased it from $200 million to $300 million and that had an additional cost in our P&L. 12:32 FX loss of $2.4 million aligned with the devaluation of the Peruvian sol and the Argentinian peso. The income tax was at $81.3 million, increase versus previous year mainly associated to a stronger profit of the company. The effective tax rate was 54.7%. It would have been 29.7% if we exclude the following items included in the income tax line. The first one, royalties and special mining tax in Peru account for around $12 million. We also have the impact of the devaluation in the Peru local currency affecting our deferred income tax. We had the increase of the Argentina statutory tax rate from 30% to 35% and that had an impact in our current and deferred tax of close to $12.5 million. And finally, we had non-deductible FX cost in Argentina impacting our FX effective tax rate. So without these effects, as I said before, we will have had an effective rate of 29.7%. With this, our net profit was $67.5 million, the attributable profit was $69.6 million and the EPS was at $0.14. 14:20 Our adjusted EBITDA for the year was at 383 -- close to $383 million. We also had 3 exceptional items. We had a gain on the demerger of Aclara, our rare earth business, where we had a gain of $37.5 million net of taxes. In Pallancata, we recorded an impairment of $24.9 million that's mainly associated to lower grades in the deposit so we recognize that impairment. And finally, we had the COVID-related expenses also recognized as extraordinary items. 15:14 The net effect of the exceptional items was a positive result of $7.4 million. I would like to move to balance sheet and cash generation. Again very strong cash generation in the period. We started the year at $232 million and we finished 2021 at $387 million. Strong cash generation from our operations. You can see here Inmaculada $247 million, Pallancata $14 million and San Jose in Argentina $80 million. Our exploration program cost us $46 million and our corporate expenses accounted for $50 million. As mentioned in the previous slide, we increased our indebtedness by $100 million. We structured our corporate debt and increased it by -- from $200 million to $300 million that gave us $100 million cash increase. We reduced our short-term loans in Argentina by $10 million. We paid interest by $6 million at a corporate level. 16:33 We paid taxes of $61 million. This included payments of the 2020 exercise of $18 million and the rest are taxes for the 2021 period. We paid $22 million of dividends to our shareholders. We paid $10 million to our partner in San Jose, McEwen Mining. We invested $12 million in Aclara before executing the demerger and then at the IPO, we invested $20 million in the company. 17:16 We had unabsorbed costs in Argentina related to COVID of $9 million and our expenses to face COVID during the year were $24 million. Mine closure and repair and maintenance expenses were $24 million -- sorry, $18 million. And our working capital net of other effects was only $1 million, but here we have a positive change in working capital of close to $20 million netted of other items like the FX cost or the cost to acquire U.S. dollars in Argentina and the restructuring plan in Argentina as well. So net $1 million. With that, as I said before, we had a solid cash position at the end of the year of $387 million. Now focusing on our cost. The all-in sustaining cost for the year ended up at $14.4 per ounce aligned with our market guidance, which was between $14.1 and $14.5 per ounce. 18:38 In terms of production cost, we were better than expected mainly as a result of higher proportion of mechanized mining methods used in Inmaculada. The effect of the devaluation net of inflation in Peru was positive and that had a positive effect. There was also devaluation in Argentina. We had higher legal workers' profit sharing in Peru and that increased our cost as the previous 2 items were higher than this last one. Grades and recoveries also presented a good positive effect for our cost. We had higher grades in Inmaculada partially offset by lower grades in Pallancata and we had higher metallurgical recoveries in Inmaculada thanks to optimization projects that we executed at the operation. 19:39 CapEx and exploration were higher than we expected. We approved incremental budget -- incremental CapEx in Pallancata to access new areas and we also had slightly higher exploration expenses mainly in Inmaculada and San Jose. Our all-in sustaining cost does not include the COVID-19 response initiatives as well as the unabsorbed cost incurred in Argentina that I referred in the previous slide. 20:17 In terms of capital and exploration, our CapEx was aligned with market guidance. Market guidance was within 120 and $130 million. We ended up at $126 million, higher than what we had in 2020 where we had a lot of limitations due to COVID and aligned with -- as I said, aligned with our market guidance, we had slightly higher CapEx in Pallancata as I said offset by other -- by savings in other areas. Our CapEx do not include the investment within Aclara of $12 million. We recovered from 2020 in terms of exploration activity and were able to execute our budget, which was we guided the market on $45 million, ended up at $48.3 million given additional exploration work mainly in Inmaculada and in San Jose with very good results. 21:31 In terms of financial position, we ended up the year with strong cash balance of $387 million and a net cash of $86 million. You can see here the evolution that we experienced from 2015 when we had $351 million of net debt position and we ended up the year with $86 million of net cash position. Also I referred previously about the refinancing of our medium-term facility, the $200 million loan facility. We increased it to $300 million debt at very competitive rates LIBOR plus 1.65%. So we're in very good shape to finance the growth of the company. You can see here, this is a 5-year loan with 2 years of grace period. Dividends as announced, we expect to pay $22 million in 2021, again a positive trend versus the past -- the previous years. Ignacio?
Ignacio Bustamante: 22:59 Thank you, Eduardo. Okay. So going back to operations and strategy. As an operational update, as I mentioned, 2021 was a very strong year for the company. We achieved our production and cost targets. All the mines were operating normally. We're maintaining a regular dialog with the Peruvian government that, as you may be aware, was an issue at the end of the year. Now the dialog is ongoing and we are making good progress there. The extension of our Inmaculada mine closure plan was granted at the end of December for 2 additional years, which is a positive message. And the Inmaculada EIA modification, which will allow Inmaculada to go until 2041, is on schedule for approval during the second half of this year. So we're moving along well on that direction. And we have our production tariffs in place for 2022, we are estimating between 360,000 and 375,000 ounces of gold or between 26 and 27 million ounces of silver for 2022. 24:05 That's using the conservative current ratio of 72x gold to silver. If we were to use the one that we used for last year, which was 86x, that production of between 26 and 27 million will be closer to 29 and 30 million ounces. And our all in sustaining cost target for the year is going to be between $1,330 and $1,3709 for gold and between $18.5 and $19 for silver. 24:33 Going to our resources. As I mentioned, we had a very strong year in terms of resource additions. We managed to increase about 75 million ounces of resources, which is over 1 million ounces of resources in 1 year and as you can see, those additional resources came mostly from Inmaculada and from San Jose. And in the case of , we're also very excited because this came with a very important grade as well that is going to allow us to materially improve the grade of both our resources and of our reserves. And as you can see in this chart, in terms of reserves, we also managed to increase the reserves in all our operations. 25:13 So basically we moved from 79 million to 84 million ounces in the case of Inmaculada, 28 million to 36 million ounces in the case of San Jose and 7.1 million to 9.1 million ounces in the case of a Pallancata. So also very good year in terms of conversion of reserves. The most highlighting part here is how we managed to go from an average grade of reserves of 318 grams to almost 400 grams with the conversion of new resources that we incorporated during the year. So a material increase in rates in the case of Inmaculada and also very excited with the potential that we're seeing in all our operations, but in particular Inmaculada, for additional positive results in our brownfield campaign during 2022. 25:58 Going to our strategy, you know this chart, you know our strategy. And we are very proud because we continue delivering on that strategy. The most important pillar continues to be in brownfield so basically increasing our life of mine, improve the quality of our resources and also try to see if we can use the spare capacity that we have available in some of our operations, particularly in the case of the Selene plant and Arcata. 26:23 The second pillar of the strategy is now development projects that have clearly taken the second priority now, particularly with Posse project of Amarillo also in Brazil. So executing on the project is going to be a critical task for the year. And we are also going to continue optimizing our early stage projects such as  transformation and also our projects in Peru and continue doing further drilling and continue investing in technologies to put those early stage projects into value. 26:55 Strategic alliances for acquisitions is going to continue a very important priority for the company despite the fact that we have made 2 important strategic moves with the acquisition of Amarillo and Andina. We are still open and looking at all alternatives to do more actions on the strategy as long as it meets the strict criteria that we have set for the company that is that whatever we acquire needs to be in an early stage, have significant geological potential, we want to have control and it needs to deliver material value for shareholders. So we're going to continue pushing those initiatives in 2022. And finally, greenfield. We are streamlining our portfolio, staking new properties and the goal that we have is to be able to drill between 4 to 6 projects per year. And the focus for this year is going to be mostly in the United States and we talk about that in a later slide. 27:48 Moving to exploration. Again it was a fantastic year in 2022 -- in 2021. We have the Angela vein, which is the one that has provided most of the production in the history of the company, of course was much lower. And most of the results, the 850,000 ounces of gold that we incorporated in here are coming basically from this area from Angela North, from Juliana, from Corridor Angela, et cetera. 28:14 So this allow us to get 850,000 ounces and this area remains open. And in addition to this, we have found another structure called Josefa that we have not started to incorporate their resources -- its resources yet, but we're getting very good interest as well. So we have very high expectations that this area is going to continue giving us very strong resource additions getting into 2022. And in addition to this area, we also have 2 very attractive areas, which is  to the West and Lineamiento 3 and Huarmapata to the North. We are in the process of getting the final social permit there. In the case of , we already have the legal permit. We are finalizing the social permit. And Lineamiento 3, we're still waiting. This is probably going to be during half of the year that we should get both the legal and the social permit. So hopefully we're going to be able to drill both targets during 2022. But these ones are already within our permitted areas so we're moving at full speed in these targets. 29:18 In the case of Pallancata. Pallancata, as you know, is the most challenging asset that we have in terms of resources. We managed -- with the hedges that we have done, we have managed to secure production for 2022 and 2023 and we are working hard in order to extend that period of time. Right now we're focusing on the short term on 2 types of targets. One, which is this Demian and Laura areas that are very close to the Paolo vein that we found a few years ago. But unfortunately, this area we are already seeing good intercepts and good results, but that's an area that is outside of the permitted area, permitted for exploration not permitted for drilling. But -- so it's going to take some time to get a permit. If we're successful on the drilling work, it's going to take us some time to get the permits to be able to work on that area, about 3 to 4 years. So in addition to this, we're also focusing on other short-term targets that are already in the operating area and if we find mineral there, we can put it into production right away. 30:21 So the focus is these targets that are mentioned here. So we have Laura and Demian here. We have the Paolo vein, which is here, Paolo structures, which are the Rina vein that is here. We have the Cinthia-Mirian veins, which are in this area here. And we have the Central Pallancata targets, which are here, which are very close to the original Pallancata vein. So we have plenty of targets to take again and we're also working on the permits to get some more targets to drill between 2022 and 2023. So even though we are constrained with the amount of profitable resources or reserves that we have in Pallancata for the next 2 years, we still have plenty of potential that we're going to continue testing in the upcoming 2 years. 31:11 And then we have San Jose. San Jose was also a very positive year in terms of resources and reserves additions. We managed to find 13 million ounces with a very good grade of 881 grams average. Most of these resources came from this area from the operating area as well as from the Saavedra area. For 2022, the drilling efforts are going to be focused again on these areas on the mine area and on the Saavedra area. In the mine area and particularly in a vein that is called the Olivia vein. 31:41 And in addition to that, we have also secured a new target that is not that close, it's about 100 kilometers from San Jose, okay? But it's a very prospective area with good grades as well and it's something that could be a potential source for San Jose going forward or if it's good and it's large could even be an independent operation. So we're in the process of drilling that area, it's called the Ciclon project as you can see here and it's also a highly motivating target as well. So also plenty of drilling potential and targets in San Jose. Looking now at strategic delivery. Again, as I mentioned, it was a fantastic year in terms of strategic delivery. We are widening our focus in the Americas, as you can see. 32:29 We have growth prospects now spread across the Americas, which are the Amarillo in Brazil that we just incorporated and hopefully we're going to start building it in the second quarter of the year. We have the Snip option exercise in Canada as well, I will talk about that later on. We incorporated Tom Elliott, our new Vice President of North America, and he's helping us leading those efforts in North America in general, in the U.S. and Canada in particular. And we continue increasing our presence in North America as well through our greenfield projects that we continue incorporating new projects to our portfolio. Regarding our near-term projects, as I mentioned and there's also a slide on this, we incorporated Greg McCann as the new CEO of the Volcan project and we are working on a few interesting initiatives that we'll talk later on. 33:18 We will continue to focus on our former mines and near-term projects in southern Peru cluster such as trying to put back into operation Ares, Arcata, working with Azuca, Crespo, Guaculo, which are projects that could end up being potential operations. So the focus on those is going to be on the geological front and on the technological front, but they will continue to be an important part of our focus in 2022. And finally, on greenfield, we have a very interesting group of drilling targets that we are planning on drilling this year. 4 of them are through EMX Royalties, our partner that have allowed us to incorporate projects in Nevada and Idaho. And we have one additional one that we are negotiating in Idaho as well. And the budget for this year is similar to the one that we had in 2021 of about $11 million. 34:13 Talking about Amarillo. We are very excited with the acquisition of Amarillo, very excited. Actually about a month ago we were there and we visited the project and we had many different talks with authorities at the government level in Brasilia the capital as well as in Goias, which is the state where the project is located and also with the Mara Rosa authorities, which is the district where the project is located. All of them very favorable with the project and very supportive as well. So very great impressions that we saw in Brazil. As you know, we are expecting to close it by the end of Q1 of this year. The voting is already ongoing on the Amarillo shareholders and so far we are seeing support of the transaction of about 99% of shareholders, which is good. And we say that Hochschild's shareholders are going to be voting at the end of March. So hopefully before the quarter end, we're going to be completing this very good acquisition. 35:08 There is an implied net acquisition cost of $106 million. which is very reasonable and very affordable when you have seen our balance sheet that Eduardo Noriega just presented. It interlines very well with our strategy and with our experience. So we believe it's going to be a fantastic fit for Hochschild in terms of operation and commercialization. It's a long life of mine asset located in a mining-friendly jurisdiction. I will talk about that a little bit more in the next slide. Has very attractive cost dynamics and part of the construction is already underway. And it has a very compelling near-mine and regional exploration opportunities. So we see this as an initial stake in Brazil with potential to grow on the project side and also we believe that Brazil is going to continue offering us significant opportunities to grow. So we believe that Brazil going forward is going to become a very important source of focus of the company. 36:05 And the budget for 2022 in addition to the acquisition cost of $106 million, we are planning on spending $120 million in the project development. As you may recall, the total CapEx for the project is about $200 million and we are planning on spending $120 million during 2022. Getting into a little bit more detail. So this is the map of Brazil. At the center of the country is the Goias state. We have Brasilia, the capital here and Posse, the project that is located very close to Brasilia in the state of Goias. Goias state has also other mines and projects that are very important. Chapada, Lundin Mining; Pilar from Pilar Gold; Serra Grande from AngloGold. And this is a state that is very friendly and very welcoming of mining investments so that makes it very attractive to us. 37:00 Mining in general is very important to Brazil and also it's an activity that is very well promoted. Historically no matter what type of inclination in terms of right or left the government have had, mining has always continued being an important economic activity for the country. So we believe that no matter what the new government tendency or views are in the management of the economy, mining will continue being a very well supported and promoted activity for the country. The project is in feasibility stage now. Construction of certain infrastructure underway such as the main camp, the electrical substation at Porangatu city, the power line, the office renovations which we had the chance to see when we were there on our visit. 37:45 It has very robust economics. So we are talking here about a very low initial CapEx, as I mentioned, $106 million for the acquisition and about $200 million for the construction. A very good life of mine all-in sustaining cash cost of somewhere between $750 to $850 from all-in sustaining cash cost, very good cash cost. Long life of mine is estimated at about 10 years. Average production is estimated at about 80,000 ounces per year, but the first 4 years are going to be bringing an average of 100,000 ounces per year. 38:17 So it's going to be a good addition to our production profile. I do believe it has plenty of optimization and exploration opportunities. There's one satellite target called  a possibility of deepening of the deposit as well that we need to explore. And as I mentioned, the possibility of using as a steppingstone to growing more into Brazil. The key milestones are. The transaction was announced on November 19. The Hochschild shareholder vote is expected for March 22 and we're expecting to close end of March. And then we're expecting an updated technical report by Q1 2022. So far, everything is pretty much in line with what we anticipated. Actually we have already placed some orders for some major equipment that are very much in line with our own budget so we are seeing no surprises on that point. The construction should start in H1 of this year in the upcoming months and we're expecting to finish and start production by H1 of 2024. 39:18 Moving to the next slide, we have Volcan. As you may recall, Volcan is our project that is located in the northern part of Chile near the Copiapo area. It's an area where there are many operations and projects there. You can see here La Coipa Kinros and you have the Lobo Marte, the Cerro Casale, Maricunga, La Pepa, et cetera. So it's a very prospective area in Chile with plenty of gold. We are talking about a belt that hosts more than 100 million ounces of gold. So it's a very large area with plenty of gold in there. We bought the asset in 2012 so about 10 years ago. Since the very beginning and we are very open about that, we bought it as a very long-term asset for us. We never had the intention of developing it from the very beginning. But it's a project that since we acquired it, we thought that going forward since mine deposits were getting depleted and grades were going down, this was an asset that in the long term could generate or represent significant value to the company. But 10 years later, we believe that this is a good time to start thinking more seriously about this project and look at the different alternative strategic options that we have. The asset is a very compelling asset. At the beginning, the company from which we acquired have done a PFS. 40:35 They were estimating 4.3 million ounces of gold production over 15 years. The resources estimated by the company were about 9 million ounces of gold so it's a huge deposit, it's a huge accumulation of gold in there. And where we stand today is that we have hired, as I mentioned, Greg McCunn as the new CEO of Volcan, and we are evaluating the best possible business case scenario for this. So this involves a lot of mine planning work and a lot of metallurgical studies and work to determine what the best size and processing for the project is. Once we have the most compelling business case scenario. 41:13 We're going to be deciding on what the next strategic steps for the project is, developing it ourselves or looking at potential divestiture or spinoff. So all the strategic alternatives are in place and we're going to be making a decision hopefully as the year passes by and we complete this business case study that we are currently doing. And also finally, we have restructured the project into Canadian subsidiary that is called Tiernan Gold. So going forward, we're going to be referring to Volcan as Tiernan Gold. Snip is also something that is very interesting. We're very excited with this project in British Columbia. 41:54 This is located in the northern part of British Columbia, as you can see here, in an area that is called the Golden Triangle where there are many other projects and operations. It is a very prospective area in Canada. It's a past producing property, which has produced about 1.1 million ounces with an average grade of 27.5 grams. It has about 4,500 hectares in  Territory. 42:24 The company -- the project belongs to -- used to belong to a company called Skeena Resources, now it's under an option to us. And the company announced in 2020 a maiden resource of about 650,000 ounces of gold with an average grade of between 13 and 14 grams. We're in the process of updating the resources and we expect to announce shortly the final results, but we have high expectations that these maiden resource is going to be increasing materially with a new update that is going to come after 32,000 meters have been drilled and after further resource evaluation has been done. So we're very excited with it again and the goal for the year is to work on 2 different fronts. The first front is to advance the project towards prefeasibility. 43:15 So on one hand, we're going to be doing additional drilling and engineering work to prove the resources and also to determine if we have a business case through a prefeasibility study and we're planning on finishing that before the year end in Q4. The second track is going to understand what the potential of this deposit is. So in addition to the prefeasibility and drilling work, we are doing also potential resource drilling to see if we can increase the resource. So we have already identified certain areas that are very prospective that we're going to be drilling during the year. So before 2022 ends, our goal is to determine whether with the resources that we already have if we have a profitable project or not and also to have a very clear idea on what the prospectivity of the project and if the resource can increase in size over time. So we're very enthusiastic about the Snip and we believe that is going to be one of our most critical and important objectives for the year to try to deliver on this project. 44:17 Getting to the end, we believe that the company, as you probably know, is significantly undervalued in general terms and also compared to our peers. Here are some metrics to show that. For instance price to earnings, we are currently at 9x when our peer group average sits at 23x. In terms of EBIT to EBITDA, we're currently at 1.9x compared to an average of 7.1x for our peers. Free cash flow yield we're currently at 18% when the average of our peer group is at 4%. And finally, on a price to NPV we're at 0.6x when our peer group is at 0.7x. So we believe that from pretty much every single indicator of the company is significantly undervalued and offers significant potential for further stock appreciation in the short term, particularly taking into account all the things that we have discussed today. 45:12 So in summary, Hochschild has been really transformed in the last year and we're very excited with that. As I have presented and as Eduardo presented, we are showing very strong profitability and a very robust balance sheet position. The brownfield program continues delivering. 2021 was a very successful year, we were able to come up with more than 1 million ounces with very good grades and we expect to continue increasing materially our resources in 2022 and going forward. We have plenty of growth options for the Americas with Amarillo, with Snip, with Volcan and with our own early stage projects in Peru. Dividend is an important component of our strategy so we continue with our long-term dividend growth. 45:57 We – as I mentioned, recently presented highly compelling valuation from every single standpoint and we believe that there is very significant upside potential to be realized in the short term with the Hochschild stock. So that finishes the presentation. Let me open it up to any questions that you may have.
Q - Kevin Kerdoudi: 46:24 Good morning. Kevin Kerdoudi from Bank of America. Do the event that happened in Peru in November force you in a way to accelerate your projects outside of Peru?
Ignacio Bustamante: 46:37 Yes. Not really because as you know, these type of acquisitions take a long time to happen. So we've been looking at diversifying the company for the last 3 or 4 years so way before the current political situation in Peru. Fortunately, we were very successful this year and the opportunities that we're looking at with the most interest materialized, which is the case of Amarillo and SNIP. We have looked at many other alternatives in the past 3 or 4 years and probably even more. So it was, I would say, not necessarily and of course I can also say that in the case of Peru, we, as I mentioned, continue working very closely with the government. We believe that what happened and the event that happened in November were mostly a misunderstanding on the side of the government that was quickly corrected. 47:28 And after that, they have increased the milestones that the company has been able to achieve in corporation and in coordination with the government and with all interested parties. So we continue being fully committed and fully motivated to invest in the country as well and we will continue doing so through our current operations and through also brownfield work and greenfield work. But the geographic diversification goes beyond that. We believe that we want to continue growing the business and we believe that the more areas in which we are that are mining-friendly, that have solid -- that represent solid jurisdiction and have good geological potential are critical in order to maximize our chances for growth. So right now we continue to liking Peru a lot, we like Chile, we like Brazil, we like Canada, we like the U.S., and those are the areas where we are currently focusing most of our efforts to continue diversifying the business.
Kevin Kerdoudi: 48:25 What is your view on Argentina at the moment?
Ignacio Bustamante: 48:28 Yes. Argentina is also an interesting country, okay? We have the San Jose operation in there that has proved to be a very important operation for the company. We have made a very good return on our investment there and it continues being a very strategic country for us. So the point with Argentina I would say is that we face certain other challenges because mining is not necessarily such an important activity for the country as it is in other countries such as Peru or Chile. There are many other competing economic activities in the country. So it represents certain challenges depending on where you are on finding for instance the right amount of skilled people to do certain work particularly underground mining, to have a very diversified base of potential suppliers for instance or service providers in general that you may have in other countries with a much longer mining history. Costs are higher. We're facing now inflation challenges. Inflation is going up materially. 49:32 The exchange rate is controlled by the government so when you compare the official rate with the market rate, there's a huge gap. So that means that it's being artificially controlled and that's creating a false reality in the sense that it doesn't represent the real value of dollar. So it tends to have been very expensive to operate in Argentina. So I would say we continue liking the country, but in order in our case to continue developing deposits in Argentina, we believe that the benchmark in terms of size and in terms of richness of the deposit needs to be very, very high to make sure that it justifies the investment when you have to deal with all these costs and challenges that I just mentioned. So San Jose, that deposit is a fantastic deposit. The grade is by far the largest from all our operations and it's a deposit that can absorb and can be in those challenging cost situations. If we were to find a similar deposit, we will definitely take a very close look at doing it in Argentina of course. But the minimum threshold in order for us to invest in Argentina is different because of all these external challenges that I just mentioned.
Patrick Jones: 51:02 Patrick Jones, JPMorgan. Can you just discuss -- you walked through the issues around the EIA and the mine closure plan at . Can you just talk to what are the key flashpoints, the critical hurdles you need to get to – to get that EIA approved into the first half? And also second, can you just walk through the same closure plan issues that you may have at Pallancata? Can you walk through the issues there? Thank you.
Ignacio Bustamante: 51:27 Sure. So one of the misunderstandings or confusions that happened in November when there was this message from the Prime Minister that we export a percentage of the market was that it was misinterpreted what a mine closure plan means, okay? And in general this is a very highly regulated and very technical industry. In general, the general population does not have a good understanding of what that means. So when you see a mine closure plan, people tend to understand that the mine is closing or that it's forced to close at a certain day of the year whereas the closure plan is estimated during a certain estimated period. 52:13 That is not the case. The mine closure plan is a dynamic document. It's a live document that changes over time and basically responds to your current mining plans. So to give you an example. When Inmaculada started, we have 7 years life of mine so we present our life of mine plan and we also present a mine closure plan by the time that we close Inmaculada in 7 years. But if from year 3 we find more resources, let's say, an additional 10 years, then you modify your mine closure plan and now it closes in year 17. You find 10 more years so it's a life that accompanies the life of mine plan that you have and that was where the confusion came from. And actually that mine closure plan is now committed to the latest mine plan approval that we have for Inmaculada so it ends at the end of 2023, okay? So that's where we currently stand. Now we have presented way before this happened the new environmental impact assessment plan for Inmaculada for the next 20 years until 2041 with all the new resources that we have incorporated in the company. So that is the plan that is currently being in the process of being approved. 53:30 As a part, there is a long and lengthy process. Usually it takes about 3 years by the time that we start and the time that we finish. It has started a long time ago and it goes through many different stages, okay? And you have to compare with a certain number of requisites. One of the latest requisites before the project gets approved is to go through a public consultation, public audience which is nonbinding. That is part of the process which involves all the communities, local authorities, regional authorities, et cetera. 54:04 And that public audience was performed on February 12th so a week or 10 days ago and that was completed. So right now we are in the last stage of the approval process that is basically coordinated by , which is the technical environmental authority in charge of doing the permit, and right now is the process of answering any questions or observations that they have and we're expecting to complete that in the upcoming months. So we're targeting to have that new environmental for Inmaculada already in the second half of this year and that should allow Inmaculada to continue producing until 2041. Hopefully 2041 is then going to get extended with the new additions that we're going to continue to finding so it's a live situation. And once we have that new environmental stage approved, then we are going to present a new mine closure plan that responds to the new life of mine plan that we're going to be getting approved. So that's the way the process works. I don't know if that's clear, Patrick.
Patrick Jones: 55:15 Actually can you just explain if there's any opportunity of the mines near to where the sort of further out projects are that you can use infrastructure that's nearby Volcan or Snip? Is there a shared infrastructure that you might be able to discuss with partners or go  costs on development?
Ignacio Bustamante: 55:40 Yes. The short answer is yes, there are. As we have seen in the case of Volcan for instance, we have all these projects in the Maricunga area that we may be in a opportunity to do shared work. The most obvious one is water for instance. As you know, we have our own water rights. An important part of our acquisition of Volcan was the water rights, but the water rights need to be complemented by water permits. So part of the work that we're doing now is to evaluate the chances of getting the water permits that would back up our water rights. But another alternative is to bring water from the ocean, desalinate it and supply many different projects in the Maricunga area. 56:22 Most of these projects that I just mentioned -- or I don't know the majority, but a lot of them do not have water rights. So for them, the only option maybe to just desalinate the water. And there are actually a couple of projects of companies trying to do that, trying to get a pipeline to get water from the ocean and desalinate it and supply the area. And we're in conversations with that again. So we're evaluating the 2 alternatives. One, to get the permits using our water rights. But the other one is doing something together with these other companies and use a collective infrastructure for the benefit of everybody. That's one example. In the case of Snip, there are other operations around there that could benefit from potentially being integrated. 57:06 That's something that we of course are going to evaluate, but at the end it's going to be considered by us as only an upside. So in order for us to evaluate doing something with other partnerships to use infrastructure, we want to make sure that we have an independent positive case. So as a stand-alone operation in terms of building our own plan, having our own deposit and doing everything together; if as a result of that we have a positive case, then we will be able to move forward with the project. If in the meantime, we find opportunities to increase value for shareholders by sharing that infrastructure, great. But negotiating potential infrastructure before we know the real value of our project, we believe we could be leaving money on the table and not maximizing the value. So first we need to understand how much it's worth for us and then decide if that can be uplifted by partnering with other local providers of infrastructure. Any other question from the public? If not, we can see if there are any questions from the phone.
Operator: 58:23 Yes, Thank you.  We will take our first question from Ian Rossouw of Barclays.
Ian Rossouw: 58:39 Thanks. Hi, guys. Just a follow-up on Patrick's question. I guess you didn't answer his part on Pallancata. I mean obviously there is a bit more uncertainty around the mine plan. So is there a risk because you don't have sort of updated mine plans that extend the life beyond just the current mine closure plan? Does that increase the risks around the ability to operate there? First question. And then just coming back to your comments around the Argentina sort of currency sort of gap. Obviously I mean from the cash flow statement, it looks like you're essentially losing 40% to 45% of any of the cash you try to pay out to the shareholders of the mine. Does it make sense to not leave the cash in the business or should we see that as sort of your take on the outlook for the country and you don't think that will improve anytime soon? So you're just I guess repatriating the cash to the parent. And then another question just on your reserve grades that's increased by 19%. I mean how -- you've obviously talked about that at Inmaculada with more mine development, you could increase reserve at the mining grades over the next few years. But what's the sort of a potential of some of your other operations on that front? I think I'll stop with that.
Ignacio Bustamante: 60:05 Thank you, Ian. So on the first one on Pallancata, as I presented in the slide in Pallancata, we already have a permitted area that is still valid for the next 2 or 3 years, okay? And we can extend it at any time. And that extension is a really quick extension because it's within the same environmental impact assessment plan. The problem is when you have to go to other areas that are outside of your environmental impact statement. 60:34 So we are within the environmental investment then you can increase it relatively quickly. You were talking about months, not years. So we have the 5 targets that we just mentioned within the current permitted area. If we find that, that's going to be a very simple and easy process, and we see no risk on that front. The one that is outside of our operating area is the ones that I mentioned first, which are the  targets that are the ones that are on the way, very close to the public structure. Those are outside of the permitted area. So those are going to take more time to be permitted. Those can take 3 to 4 years. They have to follow the long permit. And that's why our strategy is to focus on both, develop the target for the next 3 to 4 years. 61:18 And by the way, in the same category for Palca, Cochaloma and Corina, those are targets that will take us 3 to 4 years to permit. But since we only have 2 years ahead of us, we want to make sure that we -- in the targets that are in the permitted area, we find enough to make sure that we get to the 3 or 4 years that we need for the other projects. So it's very important to focus on the 2 different plans. I don't know if that answers that question, Ian.
Ian Rossouw: 61:43 Yes, that's clear. Thank you. Okay. I didn't realize that. I thought it was just the drilling  you mentioned, but the EIA is part of that as well.
Ignacio Bustamante: 61:54 Exactly right. exactly. But within the currently permitted area, we should have no problem to continue as the more we find, the more we can continue drilling without any exploring and striking the mine without any volume. On the second question on Argentina, part of what I was referring to before is, if we can find something in Argentina that is attractive and that meets the threshold that we have for the country, we're definitely going to continue investing in there. No,  for instance, the project that I just mentioned that is 100 kilometers outside of San Jose, that's a project that it is attractive, is going to require capital to develop a potential mine there and to develop an operation if it's not a fit for the San Jose plant. 62:37 So we continue working on alternatives to use the cash and keep it in Argentina. So we don't have to incur any extra cost to take it out of the country. But in the absence of those opportunities, there's no real use for that cash yet and then we have something in which we can spend that money. So we have not choice to take it out of the country with a cost that you just mentioned. 63:01 And the third point on the grades, we do believe that we can continue finding very good grade material in Inmaculada. So we have very high expectations that we will continue bringing similar rates or higher grades than the average rate of resource that we have in the upcoming years in those areas. 63:21 Of course, the most sure one or the least risky one is all the area in the North of Angela, North Josefa and extensions of Angela Northeast and Juliana because we've already seen those hybrids. But both Minasucho and Lineamiento trace, San Francisco area, have indications of containing high grade. So we are highly enthusiastic and encouraged that we are going to continue finding high grades that are going to continue allowing us to increase the grade of our minerals. 63:50 In the case of Pallancata, it's more of a question mark because, as you know, we have not been successful in the past couple of years in our drilling plans. We continue having targets, but we need to continue developing those targets to see if we can increase the resources and increase the rate. And in the case of San Jose, I would say, so far, we have not seen any indications that we can find areas with higher grades. The gradings are already very high, is by far the highest grade that we have in our operations. 64:19 And it's a talent finding resources of such a high quality. Actually, if we were to lower the bar in San Jose and look for a mineral that has, I don't know, 500 grams, 600 grams, maybe we can find much more resources. But the task that our geological team has in place is to find the highest possible grade, which is now around 800, 900, 1 kilo of silver sometimes more than 1 silo silver. So they have been focused on the high-grade material for the past few years, and that's what we are basically searching. So I would say in Argentina, we will be happy if we can continue extending the left of mine with similar grades. That already is challenging enough in the case of Argentina.
Ian Rossouw: 65:03 Okay. Thanks. Maybe one more follow-up. Just on the COVID, these exceptional costs and also the fixed costs that you exclude from your all-in sustaining costs, I mean it was almost around $32 million in 2021. Can you give us a steer if you will continue to do that in 2022? And how much should we expect for each of those for this year?
Ignacio Bustamante: 65:32 Sure. A 2021 was the last year in which we can consider these costs to be exceptional, okay? Getting into 2022, the costs are not going to be considered exceptional or going to be part of a regular cost of the company. So that's one important piece of news. The second important piece of news is that since the COVID has started, the COVID situation is starting to be more endemic and less critical, we believe that the cost of handling COVID should continue decreasing. We have a budget for this year of about $13 million for the full year that are not going to be exceptional. And if that includes going to  testing and start reducing the measures that we have in place. 66:19 If the criticality of COVID continues decreasing, we expect to have some savings on those $13 million. So that's our goal. But the way that we have budgeted for the year is that this year is going to cost us $13 million. But rest assured that we're going to be working diligently to see how we can reduce that number without, of course, putting any kind of vendor, our workers on the – on the health issues.
Ian Rossouw: 66:45 Thanks. And you are excluding that from your AISC guidance?
Ignacio Bustamante: 66:51 That’s – That's excluded from the all-in sustaining costs guidance, yes. Excluding.
Ian Rossouw: 66:56 Okay. And the other proportion, the fixed costs that due to, I guess, capacity reductions, is there also additional costs there that will be excluded from guidance that you expect to incur this year?
Ignacio Bustamante: 67:10 See, those costs are related to mainly personnel expenses. We had people who unable and could not go to work through operations. So those fixed costs are not absorbed by the production that we had in 2021. And for next year, we're assuming that for this year, 2022, we're assuming that would be 0.
Ian Rossouw: 67:35 Okay. That’s clear. Thank you. All right. Thank you, guys.
Ignacio Bustamante: 67:41 Thank you, Ian. Any other question from the phone?
Operator: 67:45 Yes, we'll take our next question from Daniel Major of UBS. Please go ahead.
Daniel Major: 67:51 Hi guys. Yes. Thanks for the presentation. A few questions. The first one relates to Snip and the cash outlay expected that I think you've guided for $9 million this year. Can you remind us how much the total remaining commitment would be in order to exercise the 60% earn-in?
Ignacio Bustamante: 68:19 Sure. So the condition was that we have to spend in 4 years, up to 4 years, a total of twice the amount that they have spent in, I think. The number, which represents to us is CAD52.5 million. So using that number, it will mean that we will need to spend up to 4 years, about CAD 105 million, okay? 68:48 So with that, we secure our 50% in the project. For this year and for each individual year, we have a minimum expenditure of CAD7.5 million. And the value that we have in place for this year is about USD9 million. So we're going to be more than fine for the commitments for this year. And if the projects continues looking attractive, and we managed to have a positive PFS by the end of the year, then we're going to continue committed to investing in the projects and to continue earning in our -- to our 60%.
Daniel Major: 69:25 Yes. So just to be clear on that, maybe phrase it a different way. After you've spent the $9 million this year in your budget, how much is left to be spent in the subsequent 2 to 3 years to secure the earn-in?
Ignacio Bustamante: 69:41 Let's see. So CAD 105 million is roughly what USD 85. We're going to be spending $90 here. So we're going to be left to spend $76 in the remaining 3 years.
Daniel Major: 69:54 Okay. Thanks. Yes. So 76 spread over 2023 to 2025 is the base assumption, assuming you go ahead for the project. Okay. That's clear. Yes, next question. I mean when we look at your slide chain, your valuation with your 18% free cash flow yield, I mean, obviously, that's kind of backward looking. And when we look forward, you've got $285 million cash outlay this year if you add up CapEx commitment to the Posse project and Snip and then potentially growing sort of expenditure on the likes of Snip and other potential options, which would, I guess, on this basis, put you in a substantial negative free cash flow position for the next few years. Is there a kind of maximum level of total cash outlay you have in mind? Or you think that the business can kind of sustain?
Ignacio Bustamante: 70:59 So in our view, then we feel very comfortable with our balance sheet and with the investments that we need to make for both Amarillo and Snip, and we believe that we are not going to require any kind of additional financing for that. So -- and actually, we believe we may even have some additional room for some additional other strategic actions. Obviously, depending on our cash flow generation and depending on how the market goes, a good opportunity, we're still prepared to take. But just to carry on with Amarillo and with Snip, we feel very comfortable with our own balance sheet. We have, as you know, a very good financing facility, an interim financing facility with very good interest rates, with very good timing for the repayments. So that puts us in a very comfortable position to successfully deliver those 2 projects and hopefully more.
Daniel Major: 71:53 Okay. So you're comfortable with $250 million to $300 million of cash outlay for the next few years and raising debt to finance that?
Ignacio Bustamante: 72:03 Absolutely. But not very -- we already have the debt. So we don't need any additional debt for that.
Daniel Major: 72:11 Okay. Well, I mean, if you -- your cash position at the end of the year, what was the cash position at the end of the year, $84 million or something…
Ignacio Bustamante: 72:21 300…
Daniel Major: 72:25 $386 million, sorry, yes. Okay. But you're spending another $106 million on the acquisition of Amarillo and then sort of $250 million to $300 million for the next 2 years. Do you think you've got enough without raising any more debt just purely from the cash balance over the next few years?
Ignacio Bustamante: 72:45 Absolutely. From – with the cash that we have in hand and with our cash flow generation from the next 2 years, we will have more than enough for that.
Daniel Major: 72:54 Okay. That's clear. And then just a question on Pallancata. I mean obviously you provided the guidance for production and all-in sustaining costs for 2022 and you've got enough visibility on sustaining production through 2023. I mean the all-in sustaining cost of $20-something per ounce this year is obviously covered by the hedges. But what should we be thinking in 2023, 2024? I mean it sounds like you're going to continue mining, you've got enough reserves based on the updated statement. But should we be thinking about a similar cash breakeven cost? And is this asset to be viewed as you're prolonging the life with the expectation that costs will remain very high and you'll generate limited cash flow on the basis you can keep the asset going until you bring in the other permitted areas into the mine plan that will bring down the cost to improve the economics?
Ignacio Bustamante: 73:58 Yes. We know and that's the reason why we did these hedges. We hedged, if you remember, at $27 for 2021 and 2022 and at $25 for 2023, pretty much all the silver production for Pallancata. So with that, we know that Pallancata is going to be generating cash flow for the -- well, it generated cash flow last year, it's going to generate cash flow for 2022 and 2023. Clearly we have hedges because we are relatively close to the breakeven price for Pallancata. So the goal in addition to making money was to make sure that we have enough time or that we need enough time  to deliver on more resources. These are expensive resources because we have had to access new areas, we have had to do mine development to access those new areas. 74:45 So these smaller resources are having to bear pretty much the entire development cost to access there. So our goal is to find additional resources that are larger so they can absorb much better the development costs to access those new areas. And as I mentioned to get enough at least to get by the next -- the following 2 years of 2024 and 2025 so we make enough time for the new areas to get permitted. So of course if we can find something that is larger and is higher grade and everything, I mean we're going to be look at it. But I would say the key goal that we have right now is to be able to extend the life of mine for an additional 2 more years so we give time to Laura-Demian and of course to the other very encouraging targets that we have in Palca, Corina, et cetera. So that's the work that we have done.
Daniel Major: 75:38 Okay. Can you remind me what was the – how many ounces have you hedged for 2023 from Pallancata again?
Ignacio Bustamante: 75:48 Okay. 3.3 million ounces of silver.
Daniel Major: 75:51 Yes. So it's 3.3 at 25%?
Ignacio Bustamante: 75:55 Yes. That's correct.
Daniel Major: 76:00 Okay. Okay. That’s great. Thanks a lot. I will set back. Thank you.
Ignacio Bustamante: 76:07 Thank you, Daniel.
Operator: 76:09 We'll take our next question from Steve Archer, Private Investor.
Steve Archer: 76:15 The Inmaculada ore sorting project, I thought that would be – from previous statements, I thought that would be up and running by now, but it doesn't seem to be much mentioned -- already mentioned as to what's happening there?
Ignacio Bustamante: 76:36  sorting technology in general is something that continues keeping us very enthusiastic, okay? But we believe that it's important to do a relatively large scale test before deciding to go with the full technology. So at the end, the project that we have in place is a project that is going to require $10 million in CapEx to put the project into operation, which is a large number. It's a large number and we want to make sure that that project even though it's going to be more like a pilot test is profitable. Based on the recent -- on the most recent work that we have done, we are still not to the level of profitability that we would like to have for such an investment. So we are working right now and in the next I would say 4 to 6 months in improving the profitability of that project and we're working on 2 areas. 77:29 The first one is working on improvements on the algorithm for the ore sorting for the separation for the screening and we have very interesting lists that we are following that we believe could end up materially improving the already good resource that we are obtaining in screening. And the second part is that it's a project that was initially conceptualized involving a lot of material handling. That material handling in that scale represents a lot of money. So we believe that by automating some of this handling, we could also obtain efficiencies to make the project more profitable. So now we're going to be focusing on that on improving the economics and once we have a profitable case, then it needs to go at full speed. But I think that it's going to take us probably the next 4 to 6 months before we get to that level.
Steve Archer: 78:24 Okay. At one point, you said that you couldn't proceed without permitting. Is that still the case and how long would the permitting take?
Ignacio Bustamante: 78:36 Yes. The permitting is in process. We do expect to have the permit ready before we complete this additional testing that we're doing. So we believe that the permitting should be ready within the next 4 to 6 months. It's still ongoing, but the permitting in our view is not going to be the bottleneck.
Steve Archer: 78:56 Okay. Thank you.
Ignacio Bustamante: 79:01 Thank you.
Operator: 79:02 I will now hand back to the speakers for any additional or closing remarks.
Ignacio Bustamante: 79:08 Okay. Thank you very much and thank you very much for joining us in person or the phone or through Internet. We really appreciate that. And should you have any additional questions, feel happy to or feel free to do so. You can always contact Charlie Gordon sitting in the back and I'm here also so happy to take any other questions that you may have on a more personal basis after we hang up. So thank you very much. Have a good day.